Grant Robert Howard: Okay. We are going to get underway as our participants are being admitted to the webinar. So thanks to all of those who are attending today. My name is Grant Howard, President of the Howard Group. And with me today is Randy Boomhour, who's the CEO of CEMATRIX; Marie-Josee Cantin, who is the CFO; and from the big city of Chicago, we have Jordan Wolfe, who is the President of MixOnSite, a division of CEMATRIX. First, congratulations on the record second quarter, best ever, purchase of another 700,000 shares under the normal course issuer bid, which is great to see. And I know you have a lot to talk about. So with that, I'm going to turn it over to Randy, MJ and Jordan.
Randy Boomhour: Thank you, Grant. Appreciate the introduction. Thank you, everybody, for attending our webinar on an earnings call. Really proud of our Q2, as we stated in our news release. Just a quick forward-looking disclaimer. We will sometimes make forward-looking statements, and you can see what those mean here and what they can mean in the future. So every time we do these presentations, we're always conflicted in whether we try to make it something new and snazzy or we repeat the story. And unfortunately, not much changes quarter-to-quarter in terms of what we're doing in the overall strategy. So it is going to be a bit of a repeat for those of you who have been on past earning calls. But we think it's important to cover these things so people understand the company and the opportunity. So from an investor, the key highlights are we're an innovative cellular concrete solutions company. We're a leading provider of lightweight, cost-effective, durable cellular concrete for infrastructure projects. We have a strong competitive advantage that I'll discuss later, and we work primarily as a subcontractor for major North American general contractors. We are in a position of overall financial strength, and we've also demonstrated an overall growth trend that I think sometimes can get missed when people are looking at just the last year or quarter-to-quarter. If you look at our 2024 revenue, it was $35 million, and we had adjusted EBITDA of $3.3 million for the year. Our 2024 cash flow from operations was almost $5 million. At the end of June 30 this year, we have $8.6 million in cash and no long-term debt. And we've been saying this for a while, but we're forecasting a record year in 2025. We have a significant market opportunity in front of us. We're an industry leader in Canada and the U.S. in the North American market. The overall global cellular concrete market is estimated somewhere between $4 billion to $27 billion with steady growth. Now that number, of course, is for all applications across all countries in the world. Obviously, the markets that we operate in, the opportunity size is going to be smaller than that. But nonetheless, it's a big opportunity in front of us. Then lastly, there's just increased infrastructure spending in both Canada and the U.S. provides a very strong tailwind for our business and for the opportunity. In terms of the team and the corporate time line, the 3 key executive members of the team are here on the call, myself as CEO and President; Jordan is the President of MixOnSite, our biggest business and where we have our biggest growth opportunities; and MJ Cantin as our CFO. On the Board, we have Minaz, Patrick, Steve and Anna and John, a very strong Board. Inside our ownership, we have about 150 million shares outstanding. Fully diluted, it's 167 million shares. That's options, RSUs and warrants. Inside our ownership is 15.4 million shares or roughly 10% of the company, and the 2 largest insiders are Jordan and myself. I always like to show this company time line. Some people say, I shouldn't show it because it shows we haven't had success, but success isn't instant, it's not overnight. Success is an accumulation of a lot of hard work and a lot of effort that's put in over time and then you reach an inflection point. And in 2023, we reached that inflection point when we went from a start-up company that needed to raise capital to survive to a company now that's growing and is consistently profitable and consistently generating cash. For those of you who don't know much about cellular concrete, cellular concrete is made by mixing cement, water and a foaming agent together. The foaming agent creates bubbles in the mixture, which results in a cellular structure, hence named cellular concrete when the concrete sets. This mixture has some key properties, including being cost effective. It's low density and lightweight, has a high bearing capacity, is extremely pumpable. It's highly flowable and self-leveling. It's self-compacting. It has some thermal insulating properties. It's durable, but it's also excavatable. So all these properties actually lend it to multiple applications in the construction industry, especially geotechnical. The primary applications that we pursue commercially is lightweight engineered fill, MSE or retaining wall fill, a lightweight insulating road subbase, flowable or self-compacting fill, pipe or culvert abandonments, tunnel or annular route and shallow utility and foundation insulation. So in terms of our customers and our competitive advantage, our customers are almost always -- we're almost always a subcontractor to a general contractor. Very occasionally, we will work directly with an owner usually on smaller scopes of work. And we work with many, if not all, of the largest general contractors in North America. I won't go through the list of names there, but you can see those are many of the bigger names in North America. From a competitive advantage point of view, we believe it's our reputation. We've been successfully delivering cellular concrete solutions on time and on budget for over 25 years. We have our team and expertise, over 200 years of in the field experience, which just can't be replicated. Our equipment. We have a large fleet of mobile technically advanced equipment for producing cellular concrete with lots of capacity to grow. Our size and scale, we've got multiple locations from coast to coast in the U.S. and Canada. And we believe we're more sustainable generally and generally more environmental friendly than the legacy products that we replace. So I've talked about this already in terms of customers and market opportunity. We've tried to get some third-party data on how big the overall market size is. You can see we've got as low as $4 billion from market research future to as high as $27 billion. They all agree that the market for cellular concrete is large and growing. And the market for lightweight fill, which includes competitive products is a multiple of this size larger. Infrastructure spending in general is increasing as the infrastructure in Canada and the U.S. is aging, infrastructure needs to be replaced and repaired. Populations continue to grow, which requires new infrastructure and places additional loads on existing infrastructure. So as a result, we see spending on infrastructure is expected to grow and continue to grow into the future. So MJ is going to get into the specifics of our record quarter, but there's some overall financial concepts that we think are important for shareholders and our stakeholders in general to understand regardless of what may happen in a quarter or the year-to-date. So one of the ones that's really important is we have a top line growth trend. So despite the step back in 2024 overall revenue, the overall time line is one of growth. So we had revenue of $22.6 million in 2021 and $35.6 million in 2024, and we're forecasting this year to be a record year. We have a positive bottom line, and we're generating cash. So in 2024, EBITDA was $3.3 million, and we had positive cash flow from operations of $4.9 million in '24. And again, MJ will talk about our results in '25. And we have a healthy balance sheet with low leverage. So we have $8.6 million in cash, and we have no long-term debt as at Q2 of 2025. So some key points to understanding our business. It's really important because whenever I talk to investors or stakeholders, all they want to see is a staircase of growth, where growth grows by 10% a quarter. But we're not a System-as-a-Service type business. Our revenue doesn't grow with that. It's going to be lumpy. And it's going to be lumpy based on when large projects start and stop. Construction is also a seasonal business. And so we're going to have higher revenues in warmer months. So our average revenue over the last 5 years has been 18% in Q1, 18% in Q2, 36% in Q3 and 28% in Q4. So as you can see, we're heavily weighted through the second half of the year in terms of our revenue. We're a specialty contractor. So margins are going to tend to be higher than general contractors, but we have more bench time and more fixed costs because we spend a lot of time to train our operators and our supervisors, and we can't afford to lose those. So we have to keep those people on site even if we don't have the work for them at that time. Project size definitely impacts margins. Lower -- our larger projects have more competition and a result, the margins are going to be lower on those projects. And we have excess capacity, which will enable us to do significantly more revenue with our equipment and our staffing levels. We have more capacity in equipment than staffing levels, but we can basically significantly ramp up revenue on both. So with this, I believe I'm going to turn it over to MJ, who's going to go through our 2025 Q2 results.
Marie-Josee Cantin: Thank you, Randy. So as you've heard, we had a record Q2 and the first 6 months revenue. So revenue for the quarter was $10.6 million versus $6.4 million in 2024. That represents a 66% increase. And for the first 6 months of the year, we had revenue of $17.3 million compared to $14.9 million in 2024, a 16% increase. Gross margin as a percent of revenue was 39% during the quarter compared to 17% in 2024. That's a 22% gross margin increase. And year-to-date, we had 32% gross margin compared to 24% in 2024. That's an 8% gross margin increase. We have positive operating income for the quarter and the year at $1.8 million for Q2 compared to a loss of $1.1 million last year. That's a $2.9 million increase. And for the first 6 months, we had $1.1 million compared to a loss of $0.8 million in 2024. That's a $1.9 million increase. Adjusted EBITDA is also positive for both the quarter and the year, so $2.4 million in Q2 compared to a loss of $0.5 million in 2024, a $2.9 million increase and $2.4 million year-to-date compared to $0.5 million in 2024, a $1.9 million increase. Cash flow from operations also positive. This is cash flow before noncash working capital changes. So for the quarter, we had $2.4 million generated compared to an investment of $0.5 million in last year. That's a $2.9 million increase. And for the first 6 months, $2.3 million compared to $0.4 million in 2024, that's a $1.9 million increase. Randy talked about the cash balance. We had $8.6 million of cash at June 30. And last year, the same period, we had $5.5 million. Looking at the graph, Randy talked about the line -- the trend line trending as a growth. You can see that like from 2017, our compound annual growth rate is about 24%. And just so you know in orange is the year-to-date revenue and the teal boxes are all full year revenue, but you can see the 17.3% for this year is almost as much as we did for full year in 2018. So pretty pleased with that progress. On the right-hand side, you have our gross margin, 32% year-to-date for this year, definitely tied to our increase in revenue. And the dip that you're seeing, as we mentioned in the past presentations, is due to COVID, supply chain issues, cement shortages. So year-to- date, 32%. And on the left-hand side, for the debt and interest, we have come a long way since 2017. The only debt we have right now is our equipment's finance loan. And on the right-hand side, you have the share structure. So as Grant mentioned at the beginning of the webinar, we've repurchased for the first time in the history of the company some shares. So we reduced our count. We purchased just over 700,000 shares. Then at the end of the quarter, we had 150.2 million shares outstanding, 6.1 million options outstanding, RSUs of 2.5 million, warrants of 8.2 million. That tallies up to a total of 167 million instruments outstanding. Now we can talk about our backlog. Our backlog went up despite our record revenues. So it continued to grow with sales success. So since the beginning of the year, we announced $31.7 million in new project awards. That's for various applications for our product. So backlog at the end of Q2 was $76.4 million, and it's compared to $69.6 million at the end of the year. I'm now going to pass it on to Randy for some closing remarks.
Randy Boomhour: Thank you, MJ. So we just always want to end on this last slide, which is just why invest? And it's really just a chance to recap the highlights, is one, we are an industry leader. We're well positioned to capitalize on the large opportunity in front of us in the growing infrastructure construction segment market. We are a growth company. Revenue is growing. We have positive adjusted EBITDA, positive cash flow from operations and a strong balance sheet. In fact, the other day, I went looking for a company that has a market cap of under $50 million, revenue of over $50 million with positive cash flow and positive adjusted EBITDA. I could only find one in Canada. It's CEMATRIX. As a result, we believe that we're currently undervalued based on traditional valuation metrics, whether you want to take a forward multiple of revenue or forward multiple of EBITDA, we believe that we're undervalued. We don't need any new capital raises to fund a burn rate. The only new capital should be in support of an accretive acquisition. So we shouldn't be diluting shareholders again. And we have capital to deploy. So as MJ mentioned, we have $8.6 million in our balance sheet. We're looking for an opportunity to deploy that capital to grow -- help grow our company in the future. On the right-hand side is our Investor Relations contacts, the Howard Group for the retail side, the Bristol Group on the institutional side. And of course, we have one analyst following the company, which is Russell Stanley at Beacon Securities. So that's in a nutshell, why to invest. Just before we get into the Q&A here, I'll just remind our audience that we don't provide guidance. So if there's questions about what the revenue is going to be next quarter or next year, we don't answer those questions. The only guidance that we'll provide is the general guidance that we expect to have a record year this year. And with that, I'll turn it over to Grant, who will help moderate our question-and-answer period.
Grant Robert Howard: Thank you, Randy and MJ. [Operator Instructions] As we move through the Q&A session, you happen to ask a specific question, I may not read it because at times, I will aggregate similar questions just to get to one answer. Randy mentioned Russell Stanley, the analyst at Beacon Securities. And we are going to start with Russell, who has a series of questions. So his first one is congratulations on the Q2 results. Understanding that scale economies on a higher revenue base contributed to strong gross margins. Can you elaborate on the role of revenue mix in the quarter, for example, large projects versus small, and how you expect second half revenue mix to compare?
Randy Boomhour: Yes, that's a really good question, Russell. It's a basic answer we are trying to get across more often. And the key concept there is that small to midsized projects, we can generally achieve a higher margin because there's less competition because sometimes the mobilization fees to move into an area can prohibit some competitors from going in. And then on a larger project, the mobilization fee is a much smaller percentage of overall cost. So competitors can come from all over the place basically chase those projects. So the margins and the competition tends to be much higher on the lower -- or on the higher revenue projects. So when we think about Q1 or first half and second half, we do expect the second half to have more of our revenue made up by larger projects. And as a result, we expect to see our margins drop a little bit, but that will be offset by -- we'll have higher revenue, which means we'll be over our fixed cost hurdle quicker. And so we should have more of that project margin falling to the bottom line. So even though our project margin and gross margin may drop a little bit, we expect our EBITDA margin to increase.
Grant Robert Howard: Russell's next question is on contract wins year-to-date. How would you describe the overall demand relative to a year ago? Understanding you have little to direct tariff exposure, are related macro headwinds impacting decisions by customers and project owners?
Randy Boomhour: Yes. So I think overall, we are seeing the market continue to grow. And I think it's growing for a number of reasons. One, because infrastructure spending is growing, but I think it's also growing because the awareness and understanding and acceptance of cellular concrete is growing. And that's growing in part because of our efforts, but it's also growing in part because of the efforts of other players in the marketplace. So the entrance of new competitors in the marketplace, I view as positive because it's just more people helping to grow the overall market. So I expect that to continue. The second half of the question, Grant, sorry, I forgot it. Is it...
Grant Robert Howard: Sorry, it just disappear on me.
Randy Boomhour: That's okay. I'm sure if...
Grant Robert Howard: It was with regards to tariffs, yes, and whether or not that's impacting decisions on your customers, speeding them up, slowing down projects, whatever it may be.
Randy Boomhour: Yes, it's a really good question. So again, we don't have a lot of direct tariff exposure. Very little of what we do crosses the U.S. border. There's a little bit of purchasing from vendors that might be in Canada or in the U.S., and we're crossing the border, but very, very little. What we are seeing on a macroeconomic basis, if a project has been greenlighted or underway, we haven't seen tariffs stopping those projects from proceeding. I do think it's adding some overall uncertainty to the market. So if there are projects maybe in the planning stage, you might see that project go a little bit slower as they try to wait for some more uncertainty on the tariff side. But I think generally, people view the tariffs less as a policy decision by the Trump administration and more as a negotiating tactic. And I think wherever we end up in tariffs in the end won't be prohibitive to doing business. And in general, the infrastructure requirements are going to have to move forward regardless of tariffs.
Grant Robert Howard: Russell's next question is in relation to a couple of projects, large ones. First is on North Carolina. Has the work proceeded as planned since the start? And how about the large tunnel grouting project in the Midwest that was started back in June?
Randy Boomhour: Yes. So I think for the North Carolina project, it has more or less gone as planned at the start. There's always hiccups when you first start a project, especially a large one, that's sort of normal. And I don't think it's really fair to evaluate success or status kind of early on. You need to look at back in the end, but all the signs indicate that that's going to be a very successful project for us. And most importantly, our customer is happy with their progress, and they're happy with the work we're doing. At the end of the day, our company's success is founded on our customer being happy. That has to be where everything starts. And in terms of the grouting project we're doing there in the Midwest, that project is going very well and is on track. And again, our customer is very happy with the work we're doing there and the progress we've been making.
Grant Robert Howard: So as a comment says congrats on the stock's recovery. And in fact, I'm just going to have a quick look at that. So obviously, the results have been well received well through 0.5 million shares already. The stock has moved up a few pennies to 33. Current market cap is about 46, but everything is positive. The bids are strong. Bids have been building very nicely based on these results. I'll get to Russell -- the rest of Russell's question, how does the M&A environment look in terms of attractive targets and willing sellers?
Randy Boomhour: Yes. So another good question here, Russell, for sure, is there's definitely attractive targets out there. The ones that would be top of our list would be the large cellular concrete players in the U.S. market. Whether they're willing sellers, that's a different question. We're starting to begin conversations with those to see if they're willing targets. But if they're not, we have a plan B in terms of where we would go next, and that would be some kind of complementary business like maybe a chemical grouting or some other type of grouting in a market that there were interested in, maybe Florida, maybe Texas, maybe California. So I think there's lots of ways for us to try to find an accretive acquisition that will add value to the company and our shareholders.
Grant Robert Howard: Questions from some other individuals. What drove the year-to-date increase in gross margins?
Randy Boomhour: Yes. So whenever we chat about this question, I think people always want to drill down into margins on specific projects, but we just don't talk about that for competitive reasons. So it really just boils down to what's the mix of projects that we're going and how many of them are small to midsize versus large. And then at the end of the day, we have to have enough revenue to clear our fixed cost hurdle. And once we do that, then the gross margin tends to go up. So it's a bit of volume and it's a bit of project mix.
Grant Robert Howard: Next question is on warrants, what they are priced at? And obviously, this comes from the slide with the cap table.
Randy Boomhour: Yes. MJ, I think I know the answer, but I'm guessing you know the exact answers. Can you answer?
Marie-Josee Cantin: Yes, it's $0.45 and $0.60, and it's also part of our [indiscernible] financial statements, if you want to go have a bit there.
Randy Boomhour: Yes. And I think there's about 800,000, MJ, that are at $0.45 and then the rest are at the $0.60.
Marie-Josee Cantin: That's right.
Grant Robert Howard: Would you happen to have the expiry date on those, Randy?
Randy Boomhour: Yes. It's July 29 of next year. So just under a year to go.
Grant Robert Howard: No problem. Next question. Could you describe the top of the funnel or the pipeline, the sales funnel? I presume he's referring to in regards to new business now versus a year ago?
Randy Boomhour: Yes. So we kind of chatted about this already is overall, I think the overall funnel is growing, and that's because the cellular concrete market is growing, and that's because overall construction market is growing, but there's also aging infrastructure and new infrastructure. And we're doing a better job as an industry and as a company in terms of getting the word out where cellular concrete can be used and the applications it can be used for.
Grant Robert Howard: CEMATRIX involved in the Calgary Green Line project, the LRT project.
Randy Boomhour: Yes. So we don't comment on specific projects, unfortunately.
Grant Robert Howard: Does being branded CEMATRIX in Canada, MixOnSite in the U.S. dilute or change the perception of the size and capabilities of the company, would being a single branded company open up more opportunities?
Randy Boomhour: So the short answer is no. It doesn't change the perception of the size of the company. And in fact, in this environment where there's a lot of sort of nationalism going on, having separate brands is actually helpful. So many people perceive CEMATRIX is a Canadian brand and MixOnSite and Pacific International Grout are perceived as U.S. brands. And so that actually helps in terms of when we run into a buyer that has some nationalistic concerns or style. So we actually think that the multiple brands is helping us right now.
Grant Robert Howard: Just the fact that MixOnSite is a well-known name and has been around for many, many years. I think it might get a little confusing if you suddenly change it to CEMATRIX. Jordan might have something to say about that.
Randy Boomhour: Yes, there are pros and cons, right? I can understand the argument for going under one brand, but we've chosen to have multiple brands for the reasons I described.
Grant Robert Howard: Yes. The Carolina Highway project has finally started. Is it a lengthy one? How will revenue be booked as the project progresses over the months?
Randy Boomhour: Yes. This is a really good question, actually. I'm glad that David asked this because I do read the chat boards every now and then, and there's lots of misinformation in those chat boards about this project. So the way we record revenue is as we place product in the ground. And so this project is going to stretch out over at least 12 months. And so that revenue is going to be recorded over the next 12 months as we put product in the ground. You don't do $15 million project and record all the revenue in the first month. That's just not how it works.
Grant Robert Howard: In the past, you talked about specification challenges being an issue in Canada. Do you have any updates on spec progress in Canada?
Randy Boomhour: Yes. So I think that's just referring to the different qualifications or permits you have to get to use the product on -- in particular, usually transportation-related projects in different provinces or states. So we continue to make progress with the provinces or states that we're active in, and we don't really see that as a hurdle right now. So much work has been done in the past to get those qualifications in place. So when we see a new opportunity where that makes sense, we pursue that. But because of all the work that's been done in the past and all the other players in the market, that's becoming less and less of a challenge.
Grant Robert Howard: How much bigger than your next largest competitor are you, which could be a little difficult because I think all of them are private.
Randy Boomhour: Yes, Grant, it's no fair if you answer the questions for me, but you're absolutely right. And it's a good question by Paul. I would love to know the answer to that, but I truly don't because they're all private. My best guess is the next biggest one is probably similar in size to us, and then the others would be a fraction of our size, maybe half or to 1/3, but it's truly hard to tell.
Grant Robert Howard: I think there's several questions on this next one. First, congratulations on the great results. Are you expecting to win more projects from North Carolina? That's the first one.
Randy Boomhour: So yes, absolutely. Like I say, like when we successfully do a project for our customers and we deliver it on quality, on time and on budget, it creates a success loop because the next time we talk to that customer, they know about us, they've seen us do our work in the field, and they know that we can do what we say. So absolutely, when we successfully deliver the North Carolina project, I do expect it will generate more business for us. Will it be as big as that project? Probably not, but it will definitely generate more business for us in the future. There's no doubt.
Grant Robert Howard: Second question within the body of this is what is your all-in cost per quarter? I'm not quite sure what that's referring to.
Randy Boomhour: Yes, I'm not sure either, but it's not information that we disclose unless it's already in our financial statements. So I think we just passed on that one, Grant.
Grant Robert Howard: The next one is the size of the current bid pipeline.
Randy Boomhour: Yes, that's a number that we've also stopped disclosing because it's a very hard number to track and get right. So we basically fine- tuned our disclosure to be numbers that we can track and get right consistently. I will say though the overall bidding pipeline is bigger than what it's been in the past for the reasons I've already talked about.
Grant Robert Howard: Gentleman, this question was directed towards Russell Stanley, and he said, Russell, your target price was $0.45 based on Q2 revenues of $6.8 million. Now that the company beat that quite handsomely, will you raise the target price higher, which we think is too low. Thank you. I'm not sure Russell wants to answer that. If he does, it will show up in a note that he'll send through. I request...
Randy Boomhour: Yes. And I would just say, Grant, I would -- Russell is not going to answer that question, right? That's not the purpose of this call.
Grant Robert Howard: There's a backlog, $76 million as of June 30.
Randy Boomhour: Yes.
Grant Robert Howard: From Kia at CenturionOne Capital, congrats to the team on a great quarter. Please talk about your capital allocation strategy in more detail, M&A and organic growth and share buybacks.
Randy Boomhour: Yes. I mean we're a small company, right? So our capital allocation is more general than specific is we're actively looking for an M&A opportunity. But if it doesn't present itself, we're not going to do it just to do it. So the capital allocation strategy could be -- we could sit on that money until we find the right opportunity. In terms of share buybacks, we're likely done the share buyback for 2025, and then we're going to relook at that share buyback again in 2026. I personally am supportive and a fan of share buyback. I think it's important to not dilute shareholders and to find a way to basically grow shareholder value.
Grant Robert Howard: So from Centurion One, are you in LOI, letter of intent, or due diligence on any targets? Is there a pipeline that you can put some and share light on?
Randy Boomhour: Yes. I mean if we were, I wouldn't be able to tell you, but I can tell you right now that we're not. So we just can't comment on that. And then there is a pipeline, and I've kind of talked about it generically, our first set of targets would be large cellular concrete players in the U.S., and then it's going to be companies that are one step out in key markets that we like. And those are really the targets that we're looking at.
Grant Robert Howard: What's the status of the Glavel investment?
Randy Boomhour: Yes. So the Glavel investment, foam glass aggregate is a great product. It is -- it has a space in the marketplace, and it will continue to grow. Glavel itself is a private company, so we're not really in a position to comment on how they're doing other than my sense is that they're doing well. They're growing their business. They've got some issues like all companies they're trying to work through, but it's been a lot of progress for them over the last year. We are a minority shareholder in that company. The path to us becoming a majority shareholder, I think, is closed, at least for the foreseeable future. But I'm still hopeful that at some point in the future, we're able to exit that investment and make some money on it.
Grant Robert Howard: There were some questions on the normal course bid, which we've deleted because they've already been answered. But any comments on cellular concrete being ripe for a private equity roll-up?
Randy Boomhour: Yes. I don't know if ripe is the word I would use. There's always opportunity for private equity roll-up. I've been surprised at the number of industries where that's occurred where I didn't think it would be possible, things like veterinarian hospitals, automobile dealerships, dentist office. So yes, there's always opportunities for roll-ups. I would say we actually hope to be the person doing those roll-ups, right? That would be part of our strategy to get to our ultimate end goals as we want to be the player that's rolling those up.
Grant Robert Howard: At this point, the last question, what benefits the company more working one $5 million contract or five $1 million contracts?
Randy Boomhour: Yes, it's an interesting question. And I would say the answer is it really depends. And people hate when I use that answer, but the specific matters, right? And so the advantage of one $5 million contract is you could probably do that with one crew and one piece of equipment over a period of time. And so that has some benefits. But as I mentioned before, the larger the contract, the more intense the competition is. So the margins on a larger contract like that are probably going to be smaller. Five $1 million contracts is probably going to have a higher margin profile because mobilization costs on a $1 million contract are more material. So it really depends. But to do 5 contracts, depending on when they're spaced out, if they're all at the same time, you could, in theory, need 5 crews and 5 pieces of equipment to do it. So it really depends. What I would go back to is what I said earlier in the highlights of the company is we have capacity. So what I'd say to that person is, I'll do both things, I'll do the $5 million one, and I'll do the five $1 million ones.
Grant Robert Howard: No further questions. So with that, Randy, MJ, any closing comments?
Randy Boomhour: Yes. Jordan, do you have any final thoughts before we...
Jordan Wolfe: No, I don't. I think you guys handled it very well. Thank you.
Randy Boomhour: MJ?
Marie-Josee Cantin: I'm good. Thank you, Randy.
Randy Boomhour: And then I'd just say lastly, Grant, when things go well, people tend to give us too much credit. When things go bad, they tend to give us too much blame. I think kind of being more even keeled about our results is really important. We're on track for a record year. We're really proud of our Q2 results, and we're just really focused on running a good company. That's the most important thing for us.
Grant Robert Howard: Thank you very much, and thank you to the participants. And with that, we are going to conclude this webinar, and we'll speak to you next quarter. Thank you.
Marie-Josee Cantin: Thank you.
Randy Boomhour: Thanks, Grant.
Jordan Wolfe: Thanks, everybody.